Operator: Good day ladies and gentlemen and welcome to KKR & CO Second Quarter Financial Results. At this time all parties are in a listen-only mode. We will have a question and answer session later on and the instructions will be given at that time. [Operator Instructions] As a reminder, this call is being recorded. Now I would like to welcome our host of for today’s conference Mr. Craig Larson. Please go ahead.
Craig Larson: Thank you, Carmen. Thank you everybody this is Craig Larson, Head of Investors Relations for KKR. Welcome to our second quarter 2015 earnings call. As usual, I’m joined by Bill Janetschek, our CFO, and Scott Nuttall, Head of Global Capital and Asset Management. We would like to remind everyone that we’ll refer to non-GAAP measures on the call, which are reconciled to GAAP figures in our press release. The call will also contain forward-looking statements, which do not guarantee future events or performance. And please refer to our SEC filings for cautionary factors related to these statements. This morning, we reported strong second quarter results. Of note we reported second quarter economic net income of $840 million equating to $0.88 of after-tax economic net income per unit. Both of these figures are up over 40% from last quarter driving by strong investment performance. Total distributable earnings were $491 million in the quarter which translates into $0.57 of distributable earnings per unit net of taxes. And in terms of the distribution we’ve announced a distribution for the quarter of $0.42 per unit. Before we move on I’d like to bring your attention this quarter in addition to our press release we’ve included a supplementary presentation for the first time which is also posted on our website. We thought we would use these slides to highlight the key themes for the quarter as we reflect on our performance and will refer to the pages in this presentation over the course of the call. If you could turn to page two for a moment of the presentation this highlights the four main themes in our business that we’ll expand on over the next 10 to 15 minutes. Strong underlying investment performance, a continued scaling of our newer initiatives, however, continuing to use our balance sheet to invest in our ideas and enhance our growth profile and lastly key initiatives were focused on looking forward. And with that let me turn it over to Bill to discuss our financial performance in more depth.
Bill Janetschek: Thanks, Craig. To set the stage for our results let me touch on page three of the earning supplement that Craig reference earlier. As you can see on this page we had strong investment performance this quarter across our carrying paying funds in both private and public market, helping our performance fees. And the performance is broad base. Our three key flagship PE funds were up between 9% and 15% in the quarter. We have also seen strong performance in our real asset strategies, which were up between 4% and 6%. And our alternative credit funds also had a good quarter with Special Sit especially strong returning 6% in Q2. And that investment performance helped drive the results we announce this morning most notably ENI, where we’ve announced record ENI on a total segment basis as well as within both private and public markets. In private markets we reported ENI of $666 million, which is up 17% from the first quarter and 77% on a year-over-year basis. This increase was primarily driven by the continued performance of our private equity portfolio appreciated 7.4% in the second quarter and 11.8% year-to-date. So far in 2015 through June 30th, our portfolio has outpaced the S&P 500 by over 1,000 basis points. Our private market balance sheet assets we’re also marked up, contributing to material quarter-over-quarter and year-over-year increases in investment income. In public markets we report $137 million of ENI, this is also materially on a quarter-over-quarter and year-over-year basis due mostly to strong performance fees and record quarterly investment income. Contributed to our performance this quarter includes the performance of our carry funds including our direct lending, mezzanine and special sit strategies, $31 million of realize investment income driven by gains in both liquid credit and Special Sit and we reported $59 million of net interest and dividend, which was up 14% from Q1. Moving to Capital Markets, we reported second quarter ENI of $37 million, up from the $28 million we reported in Q1 driven by higher transaction fees. Our capital market footprint continues to expand globally for our own investment and third parties. For the quarter about 40% of transaction fee activity stem from private equity portfolio companies. Other KKR activity like real estate and energy and infrastructure accounted for 30% while the remaining 30% represented third party activity. Also approximately 30% of the total transaction fees came from outside the U.S. Turning to our balance sheet. Our book value per unit was $12.77, also a record figure for us. Cash and investments on the balance sheet now total $11.8 billion and unrealized carry on the balance sheet is now $1.6 billion. That’s the highest it’s even been which is up 15% from last quarter and 30% from June 30, 2014. All was the result of strong underlying performance seen within our funds. Turning to the distribution we announced the distribution of $0.42. The largest component was $0.18 of realized cash carry driven by the sale of Boimet to Zimmer a secondly Nielsen a secondary Pets at Home a UK listed company, as well as a series of less visible monetizations in Asia including Aricent, Bardy [ph], Far East, MMI and UEL. From a real life carrier perspective we’re up to a good start in Q3 given the recent announcements of the sale of Capital Safety to 3M as well as a sale of the majority stake in a Lion Insurance to [indiscernible] both of which we expect close in Q3. Coupled with the dividend recap at Academy these will combine for roughly $0.12 of distribution per unit in Q3. And when you look at more recurring portion of our distribution fee and yield earnings together with cash carrying balance sheet gains and assuming the transactions I just mentioned earlier are completed we’ll be at around $0.27 a unit for Q3 as we sit here today. Finally in terms of AUM and fee paying AUM as of June 30th our assets under management were $102 billion and fee paying assets under management were $84 billion. And again keep in mind these figures do not reflect nearly $10 billion of committed capital that will be included in AUM once it’s invested. The shadow AUM is up over $4 billion from March 31st, and also it doesn’t include the prorate portion of AUM from our stakes in seeds investment which Scott will walk you through in more detail in a little while. And with that, I’ll pass it over to Scott.
Scott Nuttall: Thanks, Bill. As Craig and Bill walked you through, we had a very good quarter. I thought I would focus on the big takeaways for the quarter, share what we’ve been doing on the balance sheet and spend a few minutes on areas of focus and what’s next. The first takeaway from the quarter is that we are generating strong investment performance. Bill ran you through the data on page three, as you can see performance in the quarter was not only strong but also broad based. Let’s turn to page four and dig into the details of our private equity funds. We have executed a number of strategic sales over the last couple of years. In several those transactions we took back stock in the acquirer. Overall those stocks have performed well. In addition we have taken a number of companies, public. The result that we’ve seen a value of the public securities in our private equity portfolio increase from $4.6 billion a year ago to $11.9 billion today and those stocks continue to perform. As you can see on the right hand side of the page, Walgreens is up 14% over the last year, and higher HVA, TRA and GoDaddy are up between 40% and over 100% each. And the $11.9 billion of public securities does not includes First Data which filed its S1 earlier this week. As a reminder we have total exposure to First Data of approximately $4.5 billion approximately $3.2 billion in our funds and $1.3 billion of total exposure on our balance sheet. So PE performance for the quarter were strong. We have line of site to liquidity in the portfolio and the exit environment is good. In our non-PE strategies we are also seeing strong investment performance, good deployment and strong asset flows, which brings me to the second big take away from the quarter our progress in business building. We have discussed for several quarters the opportunity for us to scale the eight more recent platforms we have created over the last several years. On the back of strong investment performance we are seeing that happen. If you look at page five, you can see a couple examples of this, our Direct Lending II fund is 2.9 times of the size of first one. Our Infrastructure II fund which had a final closing a couple weeks ago is $3 billion or 2.9 times the size of Infra I. Our Special Situations business continues to scale as well. Our first commingle fund was $2 billion. We’ve had two closes on the Special Sits II fund at $1.7 billion and we now manage over $6 billion in assets in this strategy. In addition we’re making progress on an adjacent strategy Direct Lending Europe. So we continue to see these newer businesses scale and have a larger impact on our P&L as fees are increasing and carriers starting to be generated. But if you look at just our stated AUM the true impact of the scaling of these businesses is understated. Some of the funds we’re raising are what we call shadow AUM where the capital is committed but we do not get paid fees until it’s actually invested. Many of our private credit mandates operate this way. We do not report shadow AUM in our AUM or fee paying AUM figures until it is invested. We do track it however as it gives us a good sense of embedded potential upside in our management fees and carry. If you look at page six you can see that our shadow AUM grew from about $6 billion at March 31st to about $10 billion, a $4 billion increase just in the second quarter. So if you want to get a real picture of our capital raising in the quarter you should look at the $3 billion we raised in AUM on page 13 of the press release and add the $4 billion of shadow AUM increase in the quarter. Combining the two we had a very active fund raising quarter. Page seven shows another element of AUM growth. In addition to the shadow AUM dynamics, we also own stakes in the hedge funds that manage approximately $12 billion in AUM, where we get a portion of their profitability. The assets of those hedge funds do not show up in our AUM, but part of their profits flow through our income statement. Page seven shows what our AUM and fee paying AUM would look like if you include shadow AUM and our pro rata share of our hedge funds partner’s AUM. As you can see, including those figures increases our AUM by 13% to $114 billion. And our fee-paying AUM by 14% to $96 billion. And all these numbers ignore our capital markets business and out $14 billion balance sheet, which don’t contribute to AUM or fee paying AUM. Speaking about balance sheet, take a look at page eight. We want to provide you with more transparency regarding what we are doing with our balance sheet. Page eight details some of the activity on the balance sheet year-to-date. Since the beginning of the year we’ve invested about $1.4 billion from the balance sheet and realized about $1.4 billion. As you can see, the largest realizations relate to Walgreens Boot alliance and monetizing some of our on-balance sheet credit portfolio, including a number of positions acquired in the KFN acquisition. On the right-hand side of the page, you can see how we are using the freed up balance sheet capital. We listed three of the larger uses of funds, including an additional $200 million investment we made in WMI Holdings, the former holding company of Washington Mutual. We made this investment opportunistically as we think WMI is a great vehicle through which to facilitate acquisitions. WMI stock is up 27% through June 30th so our investment is performing well so far. We also invested $210 million from the balance sheet as of June 30 to seed our real estate credit business. We’re seeding the portfolio and see an opportunity to create a substantial real estate credit business for the firm by dropping the balance sheet seeded portfolio into a fund or other type of vehicle to attract third-party capital. This is very similar to how we started our real estate equity business. Another first half investment from the balance sheet is Acion Partners an Asia based hedge fund that we seeded as we view Asia as an under penetrated hedge fund market. Hopefully this walkthrough gives you a sense of some of our recent activity and how we continue to use our balance sheet as a strategic weapon to start and scale newer businesses and make optimal investments we think are interesting. The bottom page of eight lists the two largest PE portfolio company investments on the balance sheet. You can see that First Data and Walgreens are now valued at $1.3 billion and $600 million respectively. So combined these two assets account for 20% of our balance sheet investments. Over time you should expect us to add additional large scale holdings selectively. So we had a good quarter. Our investment performances is strong and our businesses are scaling, perhaps even more than is apparent. So what’s next, let me mention three items I’m on page nine of the deck. First, we want to continue to take advantage of our strong investment performance for clients and the good fund raising environment to scale our newer initiatives even further. This includes the Fund II dynamic I mentioned and also finalizing fund raises for newer strategy such as direct lending and newer hedge fund products. The second is America’s Private Equity, as a reminder our last America’s PE fund raise are XI called NAXI was approximately $9 billion. NAXI is now 60% committed, has strong performance as a top quartile performing fund and the fund raising environment and LP interest and investing in the Americas feel good to us. Third, we continue to explore ways to do more in liquid alternatives. At a high level we continue to see a significant amount of investor interest in alternatives. If you look our alternatives are expected to grow over the next several years liquid alternatives specifically are expected to be a fast growing component. While we have added liquid alternative capabilities in credit and hedge fund to funds we are actively exploring strategic partnerships to allow us to bring more products globally to this fast growing space to meet the needs of our investment clients and further grow our fee paying assets. We are going to host an Investor Day in New York in fall and we’ll get back to you with details. At the Investor Day we’ll walk you through how we see the revenue growth opportunity globally for all of our businesses. Hopefully you find this new format helpful in understanding the main messages for the quarter. We feel like we are making real progress on a number of fronts and thank you for listening. Operator, please open line for questions.
Operator: Before we go into Q&A Mr. Larson would you like to add anything before we open the lines?
Craig Larson: Thanks Carmen, I was just going to say just looking at the queue we actually have quite a few people lined up in the queue so if you could please ask one question and then get back in the queue if necessary we’d appreciate it.
Operator: [Operator Instructions] And our first question comes from the line of Craig Siegenthaler. Your line is open.
Craig Siegenthaler: Hey thanks. Asia Fund II had a very strong mark in the second quarter but the Asian markets have been rolling over since May. I am wondering if you can talk about the potential for negative marks in 3Q and how the recent volatility has impacted your prices in Asia Fund II.
Bill Janetschek: Hey, Craig this is Bill. I will take this one. As it relates to the performance in Asia during the second quarter you are right which is pretty strong and as you heard in my prepared remarks we had several monetizations in some of those Asia positions. Interestingly when you take a look at our public holding in our China investments and I ran these numbers on Tuesday our portfolio was only down about 4% and so when you look at where the marks were as of June 30th for those public companies and again based upon the drop in the Asia market again we have solid companies in our product we believe in China and again it was only down about 4%. I also want to point out as I ran the numbers if you take a look at where our publics were as of Tuesday, I am talking about all the public position that are embedded in that 32% that’s Scott mentioned we were up about 4% so that would be positive 4%.
Craig Siegenthaler: Got it, very helpful. Thank you.
Operator: And our next question comes from the line of Glenn Schorr from Evercore.
Glenn Schorr: Hi, thanks. I don’t know if there is anything that’s driving this specific shift in some of the structures and arrangements that you put under the shadow AUM, but I appreciate the slide and the disclosure. I am curious do they come at different fee structures things like the sovereign wealth partnership, the expansion of existing strategic partnership and does it change the way we think about the earning power of the dry powder in this expanded definition?
Bill Janetschek: Hey Glenn this is Bill Janetschek, as it relates to the economics on most of those structures take for example Special Sits and Special Sit II Special Sit I which is originally based upon committed capital, Special Sit II it was little more challenging environment to raise on the public market side committed funds and so we went to a model where we were going to get paid on invested capital. The good news is that really when you look at Special Sit I to II it’s really only a timing issue because the management fee that we are going to be able to get on Special Sit II is 1.75% on invested capital as opposed to 1.5% on the original Special Sit, but that’s just one example. As it relates to some of the more strategic partnerships, where we’re raising large amount of capital and we’ve got to be deploying that capital those are very economic trade for us, so there might be slight fee concessions that we give up, but overall it’s a very profitable business for us.
Glenn Schorr: Okay, I appreciate that.
Operator: And our next question comes from the line of Chris Kotowski from Oppenheimer. Your line is now open.
Chris Kotowski: Yeah, good morning. Thanks for the slide back. I was wondering a little about out of NAXI, we saw like the first major harvest, looked like more than $800 million in realized proceeds out of NAXI and I was wondering if this is sooner than one would normally expect or do you think it is now at a point where you have a number of mature investments or was this kind of a one-off quarter for that?
Bill Janetschek: Hey Chris, this is Bill. Very specifically to NAXI what’s ended up happening in a couple of the investments that we’ve made is we’ve actually refinanced those companies and returned that capital to our investors and all you’re saying is, us putting money up closing the investment, seeing early performance go the right way, doing a little bit of refinance and getting money back to our LP sooner.
Chris Kotowski: Okay. So those were basically like dividend refinancing.
Bill Janetschek: Yes.
Chris Kotowski: Okay. And then secondly, I had, just if we look at your balance sheet, your investment and credit in terms of cost basis in the alternative credit, the last three quarters have gone from $3 billion to $2.8 billion and then $2.7 billion this quarter. So it just seems like there was kind of a deliberate rundown in that and like you’re not replacing what you’re harvesting. Can you kind of give us the thinking underlying that and whether we should see more of that?
Scott Nuttall: Hey, Chris, it’s Scott. I’m happy to take that one. Yeah look, if you look at slide eight of the deck you’ll see on the left hand side we call out that we have been selling down some of our on balance sheet credit portfolios, CLO and otherwise. And frankly what we’ve seen there is an opportunity to redeploy that capital at higher returns and opportunities like those we lay out on the right hand side of the page. So it’s been somewhat deliberate because we’ve seen valuations and credit move up and so we’ve seen the returns from this point forward go down and we saw opportunities to redeploy at a higher return level. And so it’s hard to say where we’re going to go from here but it has been a deliberate move to bring down credits we’re deploying to other areas.
Chris Kotowski: Okay. Great. Thank you.
Bill Janetschek: Thank you.
Operator: And our next question comes from the line of Michael Kim from Sandler O’Neill. Your line is open.
Michael Kim: Hey guys good morning. Just to maybe follow up on the discussion on shadow AUM. I know it’s difficult to generalize just given the different strategies and opportunities sort of beneath the surface if you will it. Any thoughts or color on how you’re thinking about sort of the timeline or trajectory for potentially deploying those assets?
Scott Nuttall: So Michael, it’s Scott. I guess what I would tell you one of the biggest components of the shadow AUM is our private credit business. And that business as we talked about in our last call has really scaled from $3 billion to now well in excess of $15 billion in the last few years and if you think about the deployment in those strategies if you look at our Direct Lending I or Special Sit I funds you know we’ve been managed to get that money to work in a two to three years kind of timeframe. These funds are going to be larger, would be our expectation and then obviously Direct Lending II is much larger than Direct Lending I but if you think in the two to four-year timeframe that’s probably a reasonable expectation.
Bill Janetschek: And Michael, this is Bill. Just a little bit of a follow-up on shadow AUM. We’ve been talking about shadow AUM on the earnings for probably the last couple of years and it’s always been roughly at a range of in between say $4 billion or $5 billion or $6 billion. We saw a significant increase this quarter and what we’ll end up doing is we’re signing commitments, we’re raising capital but it’s not just coming through or AUM or fee paying AUM because of the way we report it. But we wanted to make sure we draw it to your attention the significant capital raising that we’ve had over the last couple of quarters and I hope you find this information useful. Another thing that I want you just take a look at is, if you look at page 15 in that uncalled commitment column a lot of the shadow AUM that we’re talking about on the slide six is actually reflected on that table. So you could see Special Sits II where we’ve got uncalled capital the $1.6 billion that’s part of that shadow AUM.
Michael Kim: Got it, that’s helpful. Thanks for taking my question.
Scott Nuttall: Thank you.
Operator: And our next question comes from the line of Bill Katz from Citi.
Bill Katz: Okay, thanks for taking my questions, I appreciate the actual disclosure it is very helpful. Just a big picture question, Scott I may read too much into this but it sounds like as you monetize some of the bigger stakes in the balance sheet you said this would be tactically adding to over time so I guess the question is as you are scaling the business will it be what you have now or shadow AUM and given what looks like a bit of a slowdown in dry power deployment and much of your peer saying hey the markets are pretty heavier with the equity fix income. Can you talk about rationale of managing such a large balance sheet at this point in time, is it strategically compelling now as you scale the business and maybe the root question here so Craig just [indiscernible] is could you lower the size of the balance sheet and maybe pickup cap return in terms of repurchase on top of the distribution?
Bill Janetschek: Great, thanks for the question, Bill. I’d probably separate topics a little bit if it’s right. First let’s talk about deployment, if you look at actually the deployment that we’ve seen across the firm over the course of this year, it’s actually been pretty strong, relative to the first half of last year $4 billion in private markets, this year at $3.3 billion so far that doesn’t include some investments like WMI so if you include those it’s actually closer to $4 billion. So we’ve seen private markets deployment kind of flat to off a little bit after a very active first half last year. And if you look in public markets you can actually see deployments gone up. So for gross dollars invested $1.8 billion first half last year $2.3 billion first half of this year it’s across Direct Lending, mezzanine and special situations. So we continue to find interesting ways to deploy capital, we are being very prudent because valuations have moved up in most markets but if you look at in the markets like Asia where we’ve been active in the number of different areas we’ve been able to find some very interesting opportunities special situations Direct Lending we are finding needs for capital have been active there. I would separate that discussion from the balance sheet question. As we talked about the last several quarters, our model is a bit different than its model that we choose and we like having this marriage of third party AUM with our own balance sheet and our capital markets business because we think it allows us to really monetize our ideas to a much greater extent. And I would actually take the result at this quarter as a proof point as to what the model can generate when we see strong investment performance across all of our different businesses. So if you look at what happen you can we’ve had good investment performance that translated into good performances, carry and balance sheet results and the capital market business intermediated a lot of that was able to generate attractive risk free economics for the most part for the firm. So we kind of view the quarter as saying, here is what it looks like when the model is really working on a number of funds. And we like having our balance sheet as our own largest investor and part of the reason we want to give you this disclosure is we want you to see what we’re doing with the balance sheet. We continue to use it to seed new businesses, scale businesses that we are in and we see it as really an opportunity to help create new product to drive more opportunities for our investment clients and drive more fee paying AUM. So we view it as kind of a virtuous cycle. So our view is that we want to continue to have a large balance sheet, because we are believers in ourselves and our ability to generate investment performance and we want all of us as shareholders to participate in that upside to a greater extent. If you then go on to another implicit question that you asked, which is, dividend policy buyback. As we’ve discussed we have chosen thus far to have all of us as shareholders to participate in our performance through a large payout. So we’ve been paying out 75% to 80% of our cash flow. We’ll continue to access whether that’s the right way for all of us to participate. Obviously, the topic of buyback has come up in prior quarters. Thus far the view has been let’s pay it out in dividend as opposed to doing a buyback, but we’ll continue to access it.
Bill Katz: Okay. Thanks for taking all my embedded questions.
Bill Janetschek: Thank you.
Operator: And our next question comes from the line of [indiscernible] from Deutsche Bank.
Unidentified Analyst: Hi, good morning folks.
Bill Janetschek: Good morning.
Unidentified Analyst: Maybe just to focus a little bit, maybe Scott, you were talking about the Americas Private Equity is sort of what’s next idea. If you could talk a little bit about - two-part of question I guess, the deployment outlook in the Americas given what we’ve seen in high valuations where you are finding opportunities. And then thinking about the fund raising outlook, beyond where you are already in the market for in and to potential to raise a NAXI 12, sometime in the next I don’t know 12 to 18 month or so.
Bill Janetschek: Happy to take it Bryan [ph]. Look I think a couple things. One, let’s start with deployment. As I mentioned that NAXI fund is about 60% invested and committed. They include transactions we’ve announced but haven’t yet closed and so we continue to find interesting opportunities. Valuations in the US are pretty high but we have managed to find some opportunities bit off the run that we find interesting. Two recent ones we announced Mature [ph] which is high note worth life insurance provider and CHI which is a garage door manufacturer. So these aren’t opportunities that you necessarily going to redevelop in the paper but, in most of those situations we’ll deploy $300 million or so of equity which is kind of been in our sweet spot for last several years. So we are finding some interesting opportunities for deployment and as we talked about we are taking advantage of the equity capital markets to facilitate exits as well. In terms of fund raising all I can tell you is that we’d expect to be in market soon to launch the successor to the NAXI Fund and as I mentioned we are pleased, performance have been top quartile so we were finding good ways to get capital to work, we’re pleased with the early results and we’ll be in market soon.
Unidentified Analyst: Okay, great, thanks very much.
Bill Janetschek: Thank you.
Operator: And our next question comes from the line of Ann Dai from KBW.
Ann Dai: Hi good morning. Thanks for taking my question. There’s been some discussions by some of your peers about creating pools of capital that invests for 10 years longer than the average PE fund. So is your funding what your thoughts are on that and you know if it’s that something KKR would be interesting in doing?
Bill Janetschek: Thanks, Ann. We’ve looked at it. I think the thesis is that there’s some investments that you may want to hold for very long period of time where the returns maybe a bit below traditional private equity fund targets. And it’s something that we’ll continue to look at. If it does become a part of the business I would expect it to be relatively a small part but you know it’s something that we’re assessing and exploring with a partner or two.
Ann Dai: Great. Thank you.
Bill Janetschek: Thank you.
Operator: And our next question will come from the line of Patrick Davitt from Autonomous.
Patrick Davitt: Good morning guys. I think Alex at a conference last quarter mentioned that NAXI’s EBITDA growth had tracking at 20% plus year-over-year which is clearly better than market and seems pretty outsized even relative to funds of similar vintage. Is there any one or two positions driving that, is there an industry confrontation that’s maybe driving that? I mean it’s pretty incredible.
Scott Nuttall: Patrick its Scott. I think what I’d like to do is probably aggregate a little bit for you and maybe talk more about that portfolio more broadly.
Patrick Davitt: Okay.
Scott Nuttall: So our overall private equity portfolio we track this quarterly, has continued to perform quite well. If you look globally last 12 months we’ve had about 8% revenue growth and about 13% EBITDA growth and that’s on the global portfolio. Within that you’d see North America and Asia growing faster than the 13 and Europe growing more slowly but we’ve been quite pleased with the private equity portfolio performance. The Americas private equity portfolio has been performing very well. I would tell you that within the NAXI portfolio it’s been petty broad based, it’s not just one or two companies or one or two industries.
Patrick Davitt: Okay, great thank you.
Operator: And our next question comes from the line of Michael Cyprys from Morgan Stanley.
Michael Cyprys: Hey good morning and thanks for taking the question and thanks for the enhanced disclosure in the slide deck that’s helpful. Just around that on the balance sheet you mentioned I think it was slide eight that you amortized that $1.4 billion in the first half of balance sheet and also invested about $1.4 billion. Just curious how much of that came through in the second quarter alone and then as we think about reflecting this in our model this enhanced disclosure is this something we can expect to see similar level of disclosure going forward?
Bill Janetschek: Hey, Michael. This is Bill. I’ll take that one. As it relates to the $1.4 billion approximately half of that came through the first quarter and other half came through in the second quarter. And far as disclosure is concerned I would say that because we’ve gotten a lot of emails from a few of the analyst that cover us and they found this quite helpful from a transparency point of view and you just mentioned it as well. I would say that we’re going to continue to report this on a quarterly basis.
Michael Cyprys: Okay, thanks great. And I want just to make sure I understand so the $1.4 billion on the monetization and the investment side they were each roughly half-half first quarter second quarter?
Bill Janetschek: Yes, it’s pretty close, it’s not going to be exact but it’s very close to being in the neighborhood of 50-50 on both sides.
Michael Cyprys: Got it. And then sense just on the deployment outlook off the balance sheet $1.4 billion in the first quarter how are you thinking about things going into the second half of the year?
Bill Janetschek: Hard to be too specific as it’s going to be based on the opportunities as we see them. We continue to see opportunities in real estate credit, so I’d expect that number will continue to go up. As I mentioned, we are continuing to explore strategic partnerships and liquid alternatives. So you may see us do some more there. But it’s hard to be too precise because it’s based on the opportunities that are coming our way and how the markets evolve.
Michael Cyprys: Okay, got it. Thanks so much.
Bill Janetschek: Thank you.
Operator: And our next question comes from the line of Mike Carrier from Bank of America.
Mike Carrier: Thanks guys. You said a question, I guess the revenue and just the expenses kind of on the core, the fee earnings. Just on the management fees it seemed like it ticked up. I just wanted to find out if there were anything like catch up fees this quarter? And then in the outlook, if we should be expecting anything differently? And then just on the monitoring fees, Bill I think you mentioned, you kind of gave a range because the first quarter was extremely strong. So just any update on that, and I know it’s volatile. So whatever you can us. And then on the expenses both the core comp and the non-comp expenses, both were either well managed or came in lower than expected. So just wanted to see if there were anything unusual in the expense lines in terms of the run rate going forward?
Bill Janetschek: Sure. And although you were told to ask one question, I think there were three questions.
Mike Carrier: Sorry about that.
Bill Janetschek: I’ll give you a pass. But when you talk about management fees, let’s talk about private markets. You could see that there is a slight uptick. A little bit of that is a catch up with regards the E4 fund closing and Infra II but that’s modest. When you look at public markets, you could see slight increases and that’s just assets coming online like its Direct Lending II and Special Sits II so nothing where you would see a reversal of that number in the subsequent quarter. As it relates to monitoring fees we said last quarter that the average run rate on monitoring fees should be approximately $20 million a quarter. You could see that the number in the first quarter was quite large and we talked about a monitoring termination payment from the Boots, Walgreens transaction. In the second quarter we also had two monitoring termination payments one of which was outsize and that was the Biomet, Zimmer transaction. And so you would see those happen episodically but again back to your earlier question the run rate number for modeling purposes should be about 20. As it relates to expenses you could see that the expenses in private markets were and we’re talking about operating expenses were down from $42 million. That really was driven by smaller get deal expenses in private markets. But overall you could see that the expense from the first quarter and I’m talking about total reportable segments went down from 60 to 51. I would say that this is probably a light quarter from an expense point of view and you should think that that number is going to be anywhere in between say 55 and 65 on a quarterly basis.
Mike Carrier: Okay. Thanks for the color.
Bill Janetschek: You bet.
Operator: And our next question comes from the line of Devin Ryan from JMP Securities.
Devin Ryan: Hey, good morning. Most questions have been asked here but maybe just one on the energy exposures across the platform, you didn’t really touch on that I know who the better story this quarter. But we’ve seen a slight reversal in commodities thus far and the third quarter. So I’m just trying to get a sense. If we don’t see a recovery in commodity prices from here do you see any impact on related exposures or you have to take an additional marks or do we get to maybe a point where hedges roll off and so there could be some more pain, just trying to get some sense here?
Craig Larson: It’s Craig, let me a few thoughts on that. First, and it’s a good question. One other things that is important to remember is that as the energy investments largely are valued will run long lived discounted cash flow analyses. So when you look at the movements in commodity prices both in terms of oil and natural gas, and along with that by the way is it and you referenced this, is that the majority of our near term production is hedged. So the results of that is that the shape of curve and prices four to five years out are important to consider that’s true both when prices are higher as well as lower. So when you look at the movements that you referenced in terms of crude and natural gas you have seen some low teens to mid-teens movement downwards in spot crude but when you look four to five years out that you’ve seen movement a lot less than that. And from the standpoint of our overall holdings were pretty equally split between natural gas and crude and natural gas prices have actually haven’t seen that same type of volatility, one off at this point. Now one of the things that does read into this it’s also just worth mentioning is from a deployment standpoint, one of the new launches is that if you look at the second quarter at least we actually we are not active in deploying or were not active even in terms of deploying capital in Q2, in our energy strategies. I think as we’ve seen commodity prices moved down even since June 30, we actually think that could help opportunities in the back half of the year. So we’re pretty constructive on what that opportunity is and what those opportunities could be for us. Although with the margin we’re probably seeing more opportunities at the asset level versus the corporate level. And one other point as we think about this vertical actually would relate to infrastructure because infrastructure actually is an area where we have been very active. So even within the last couple of, last two weeks we’ve announced another couple of investments within our Infra II funds those naturally haven’t closed but at this point even with those four investments Infra II is over 25% committed which is certainly a healthy figure recognizing that we only held the final close in Infra II early in the month.
Devin Ryan: Great. Very helpful color, I appreciate the update.
Operator: And then our next question comes from the line of Patrick Davitt from Autonomous.
Patrick Davitt: Yeah thanks for the follow-up. You mentioned the third-party stakes or the minority stakes and hedge funds, could you kind of walk through all of the hedge funds that are in that bucket and how they’re performing?
Scott Nuttall: Sure, Patrick. It’s Scott. So a couple of things, stepping back as a reminder let’s just talk about the hedge fund business broadly for a moment. So we really, we really got three or four different components. So as you know we have the KKR Prisma platform where we manage about 11 billion of solutions and fund to funds mandates, we’re creating new product off that platform, we’re direct investment product, so we’ll give you updates on that, those efforts build over time. We mentioned the seed investment that we made in Asia, the Acion Partners investment that I mentioned in the prepared remarks and on the stake side today we really have two. We’ve got in the Nephila which manages about $10 billion and then we have BlackGold which mean is approximately $2 billion so $12 billion in aggregate and we earn approximately 25% of each and so if you take the 25% of the $12 billion, that’s how you get the $2.9 billion on slide seven is part of that bridge. We have taken a different approach to stakes than other which is that we are approaching it much more as a strategic matter. So this is investments that we’re making off our balance sheet and we believe that we have an ability to work with our partners to create new product and deliver solutions to clients that otherwise we can’t deliver with just the products that we manage on a 100% own basis. Both Nephila and BlackGold financially for the firm have performed in line with or in excess of original expectations.
Patrick Davitt: And was there another negative mark in the LP investment you have in BlackGold the $100 million.
Bill Janetschek: No, Patrick, this is Bill. It was flat for the second quarter.
Patrick Davitt: Okay, thanks a lot.
Bill Janetschek: Thank you.
Operator: And I would like to turn the call back to Larson for any final remarks.
Craig Larson: Just thank you everybody for your time. Thank you, Carmen. If there are any follow-up questions please feel free to follow up with me directly.
Operator: Ladies and gentlemen, thank you for participating in today’s conference. This concludes the program and you may all disconnect. Have a wonderful day everyone.